Operator: Thank you for standing by. This is the conference operator. Welcome to the IAMGOLD Fourth Quarter 2023 Operating and Financial Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I'd like to turn the conference over to Graeme Jennings, VP, Investor Relations and Corporate Communications for IAMGOLD. Please go ahead, Mr. Jennings.
Graeme Jennings: Thank you, operator. And welcome everyone to the IAMGOLD fourth quarter and year-end 2023 operating and financial results conference call. Joining me today on the call are Renaud Adams, President and Chief Executive Officer; Maarten Theunissen, Chief Financial Officer; Bruno Lemelin, Chief Operating Officer; Tim Bradburn, Senior Vice President, General Counsel and Corporate Secretary, and Jerzy Orzechowski, Executive Project Director, Côté Gold. Before we begin, we are joined today from IAMGOLD's Toronto office, which is located on Treaty 13 territory on the traditional lands of many nations including the Mississauga of the credit, the Anishinaabe, Chippawa, Haudenosaunee, and the Wendat peoples. At IAMGOLD, we believe respecting and upholding indigenous rights is founded upon relationships that foster trust, transparency, and mutual respect. Please note that our remarks on this call will include forward-looking statements and refer to non-IFRS measures. We encourage you to refer to the cautionary statements and disclosures on non-IFRS measures, including the presentation and the reconciliations of these measures in our most recent MD&A, each under the heading non-GAAP financial measures. With respect to the technical information to be discussed, please refer to the information in the presentation under the heading Qualified Person and Technical Information. The slides referenced on this call can be viewed on our website. I'll now turn the call over to our President and CEO, Renaud Adams.
Renaud Adams: Thank you, Graeme, and good morning, everyone, and thank you for joining us today. Last year, IAMGOLD made significant strides, towards our goal of becoming a leading mid-tier gold producer, leveraging its assets to build a mining platform, with a long-life cornerstone asset in Canada. As we will get into more detail shortly, Côté Gold saw remarkable progress in 2023, with the project starting the year, with construction approximately 64% complete, but ending the year at 98% complete. This progress included major milestones across the project scope, including the mechanical, piping, electrical, and instrumentation of the plant, completion of the first stage of the tailing facility, electrification of the site to the provincial hydro grid, and initiation, and successful ramp-up of our autonomous mining fleet, making Côté Gold North America's first gold mine to be designed and built for the usage of autonomous haulage, which is changing the face of mining today. Côté is poised to start production shortly, with more than 5 million tonnes of stockpiling plate, commissioning activities ongoing, and a full hands-off of all primary facets of the project, to the ownership team this quarter. Our primary focus and efforts continue to be on positioning, the project for a steady ramp-up of gold production, through this year, to achieve commercial production in the third quarter. At steady run rate, Côté Gold will be the third largest gold mine in Canada, and it's critical for the repositioning of IAMGOLD as it runs online. Côté provides a higher production base, lower cost profile, and a long life of cash flow generation and growth opportunities in Canada. Further, over the last 12 months, the company has seen significant changes in leadership across the organization, with a renewed focus on operational excellence, and accountability while continuing to build on IAMGOLD's strong and widely recognized sustainability practices. Operationally, I'm very proud of the team, with a tributary gold production from continuing operations of 465,000 ounces, which was the top end of the guidance range of 410,000 to 470,000. I really want to congratulate the Essakane team who achieved their targets, while facing considerable challenges within the region, and the Westwood team who continues to execute on the plan, to ramp up underground operation while employing industrial-leading underground seismic monitoring and management. Last night, we also announced an update to our year-end, mineral reserves and resources, with a net increase after depletion of Essakane Westwood reserves, extending the mine life of this asset. Mineral resources saw significant increases while driven by updates to Côté and Gosselin, as we grow our gold pipeline and future for the company. Longer term, our goals for IAMGOLD remain, to be a leading intermediate gold producer with a portfolio of assets centered around a corner asset in Canada, that have a proven record and ability to generate strong, consistent free cash flows and attractive returns for shareholders. Build on our pipelines of project and strategic geographies and organically grow our assets. Establish ourselves as a leader amongst peers in health and safety, talent development and ESG, including biodiversity, tailing management, water stewardship, and community health and education. And of course, to be recognized as a leader in applying leading proven technologies that drives performance and sustainability across our business. Financially, we will prioritize returning to the 70% position in Côté with our partner Sumitomo, as well as use our cash flow to optimize our balance sheet and deliver the company to have a more efficient and balanced capital structure. With that, we will now dive into the operating and financial results and highlights for the quarter. Starting with health and safety, the company continues to perform extremely well with the days away restricted transfer duty rate of 0.39, and total recordable injury rate of 0.69, both based on 200,000-hours work. I want to take a moment, to congratulate Essakane, which achieved its best ever performance in health and safety with a days away restricted transfer duty rate of 0.06. This is a testament to the professionalism and commitment to a culture of safety, for our people in Burkina Faso. Ensuring all of our employees and contractor go home safely would always be the primary focus for IAMGOLD. As we like to say, every gold ounce produced has to be done safely, and our goal continues to be Zero Harm, Zero Harm for the people and the places where we operate. On production, in the fourth quarter, the company produced 136,000 ounces, bringing total annual productions to 465,000 ounces on an attributable basis, which was near the top end of our guidance of 410,000 to 470,000 ounces. As we will get into in a moment, the production results were driven, by Essakane being able to operate, without disruptions and benefiting, from positive grade reconciliation. And the ramp up, in rehabilitation of underground zones at Westwood. Our cash costs and all-in sustaining costs declined in the fourth quarter to $1,197 an ounce and $1,735 an ounce, respectively. This brings our year-to-date cash costs to $1,261 an ounce and an AISC to $1,783 an ounce, in line with our revised guidance estimates this year. On a year-over-year basis, we've seen a step up of cost, due to continued pressures of Essakane, as well as sustained elevated price, from the recent inflationary period. We are seeing some sign of price easing on certain consumables, but on the whole, there are several costs that have a long tail and slow to decline. With that, I will pass the call over to our CFO to walk us through our financial results and position. Maarten?
Maarten Theunissen: Thank you, Renaud, and good morning, everyone. Looking at our fourth quarter financials, revenues from continuing operations totaled $297.6 million from sales of 147,000 ounces on a 100% basis at an average realized price of $2,005 per ounce. Adjusted EBITDA from continuing operations was $110 million for the quarter and $315.1 million for the year. Adjusted earnings per share from continuing operations was $0.06 for the quarter and $0.09 for the year. In terms of our financial position, IAMGOLD entered the year with cash and cash equivalents of $367.1 million and a fully undrawn credit facility, equating to the total liquidity of approximately $754 million. As further described in MD&A, the company entered into the one-year extension of its credit facility in November, extending the maturity to January 31, 2026 from January 31, 2025. As part of the extension, the credit facility was also reduced, or right-sized to $425 million, based on the company's requirement for a senior revolving credit facility on its overall business. The extension allows for the credit facility to be available and non-current during 2024, should we require additional liquidity during the ramp-up of Côté and for working capital purposes. The company has received gross proceeds of $197.6 million from the Bambouk transactions and the remaining transactions related to the sale of the early-stage assets in Guinea and Mali, are expected to close this year for gross proceeds of approximately $84.4 million. We note that within cash and cash equivalents, $81.7 million was held by Côté Gold and $70.9 million was held by Essakane. The Côté Gold UJV requires its joint venture partners to fund, in advance, two months of future expenditures and cash calls are made at the beginning of each month, resulting in a month-end cash balance approximating the following month's expenditure. Essakane normally pays a dividend in the second half of the year. As we will outline in a moment, the company's remaining funding requirement, to complete construction and commissioning of Côté Gold to bring the mine to first gold is estimated to be $142 million, which includes working capital adjustments. The company believes that its available liquidity at December 31, 2023, combined with cash flows from operations, the expected proceeds from the sale of the remaining Bambouk assets, and available liquidity provided by the credit facility, is sufficient for the company to fund its $60.3 million interest of the Côté an incorporated joint venture, to complete the construction and commissioning, and ramp-up of the Côté Gold project. It should be noted that the company's ability to draw on the credit facility, is impacted by certain covenants, including the net debt to EBITDA and interest coverage ratios, of the company that could be impacted, by macroeconomic factors and the performance of the company's existing operations. We also announced amendments to our Gold prepay commitments in December. We entered into a new forward sale announcement and a partial amendment to one of our existing Gold prepay arrangements that effectively transfers the Gold delivery obligations out of the first quarter of this year into the first quarter of next year. This was an important measure to improve the financial flexibility for the company for a reasonable cost, while we were also able to benefit from - forward gold prices, particularly for the first quarter of this year while we are commissioning Côté head of production by the end of the quarter. And with that, I will pass back to Renaud. Thank you, Renaud.
Renaud Adams: Thanks, Maarten. Turning now to Essakane, the mine reported attributable gold production of 108,000 ounces in the fourth quarter, which was the highest quarter of production for the year, bringing total attributable productions in 2023 to 372,000 ounces. Mining activities totaled 12.9 million tonnes in a quarter, an increase from the third quarter as operations were less impacted by the security situation within the country, with minimal disruptions in fuel supply. On an annual basis, mining operation moved 43 million tonnes, 13% lower than the prior year, due to the impacts to the supply chain in the first and third quarters. And on ore tonnes mined of 9.6 million tonnes, we are approximately 24% less than the year prior as a result of an increase in required waste stripping as mining activities moved into Phase 5, 6, and 7 of the bit in the second half of the year in support of the '24 and 2025 mine plan. Head grades increased in the quarter to 1.32 grams a tonne, due to positive reconciliations, for the deeper benches of Phase 5. This positive grade reconciliation at Essakane is a trend that has continued in the early weeks of this year. However, head grades are still expected, to decline in line with the recent life of mine plan, as volume from Phases 6 and 7 increase, and from increased proportion of stockpiles ore. On a cost basis, Essakane reported fourth quarter cash costs of $1,132 per pound and an all-in sustaining cost to $1,548 an ounce, a significant improvement from the prior quarter, yet year-over-year, the cost profile has increased with 2023 annual cash costs of $1,181 per ounce and an AISC of $1,521 an ounce. This increase in Essakane cost profile, over the last 12 to 18 months, is attributed to a combination of the lagging impact on deflation, higher volumes of operating waste from increased strip ratios, as the mine enters new phases, the impact of security situation resulting in higher land and fuel prices, transportation and camp costs, as well as higher labor costs, due to appreciation in the local currency. In addition, last year, we saw the government of Burkina Faso implement an updated royalty rate that we sell the in-country legal proceedings on the 2018 handling of carbon fine. Looking ahead, Essakane is expected to produce 330,000 to 370,000 ounces at a cash cost of $1,300 to $1,400 an ounce and an AISC of $1,675 and $1,800 per ounce. These metrics are in line with the updated 43-101 and life of mine plan we announced for Essakane in December. Under the current mine plan, 2024 represents the last year of significant sustaining capital, which is expected to decline notably in the later years of the mine plan, assuming no further extension of mine life. The updated technical report, we released in December demonstrated, the successes of teams have had delineating additional ounces - within the site security parameters, which contributed to an increase in our mineral reserve and resources inventory and more than offset mine production depletions in 2023. As of December 31, 2023, Essakane has proven and probable reserve of 2.2 million ounces at an average grade of 1.1 gram per tonne, of which open pit reserve were estimated to be 1.8 million ounces, rating 132 grams a tonne. As a result, we were able to extend the mine life of Essakane an additional year, providing visibility for the next five years of operations, at the project with considerable cash flow generating potential, particularly as stripping requirements decline in the later years. We continue to seek opportunities, for further extension of the mine - the life of mine as we continue to advance in 2024. Turning to Westwood, the fourth quarter represented the highest quarter of gold production since the mine restarted in 2021, with 28,000 ounces of gold produced, bringing the total annual production last year to 93,000 ounces. The higher production in fourth quarter is the result of the ramp up of underground operations, supplying increased volumes of higher grade ore for the mill feed and the introductions of higher grade material from the Fayolle deposit. Ore mined from underground totals 77,000 tonnes in the fourth quarter, contributing to an average head grade from underground ore of 7.92 grams a tonne, which is the highest grade from underground in nearly six years since Q1, 2018. As rehabilitation efforts have allowed access to previously closed higher grade underground stopes. The mill throughput in the first quarter - for the fourth quarter 2023 was 245,000 tonnes at an average head grade of - 2.9 grams a tonne. The mill availability in the fourth quarter was rather low at 78%, which compared with 95% in the prior year period. This was due to unplanned maintenance of the SAG mill liners and apron feeder. The cost profile for Westwood continues to see improvement with the increase in production. Cash costs averaged $1,434 an ounce in the fourth quarter, which was also a record since the restart of operation, and notably includes an estimated $190 an ounce of cost related to the development incurred at Fayolle that was expanded, due to the short life of mining of the deposit. On an all-in sustaining cost basis, Westwood averaged an AISC of $2,049 an ounce in Q4, which compared well with the realized gold price of $1,989 an ounce. Further, when adjusted for positive working capital movement, Westwood actually returned positive mine site free cash in the fourth quarter, an important step in its return to profitability. Looking ahead to this year, Westwood gold production is expected to be in the range of 100,000 to 120,000 ounces in '24, with an increasing proportion of ore sourced from the underground mine at higher grades. Production levels are expected to be higher in the first half of '24, due to mine sequencing in the underground mine, as the supplementary mill feed from Fayolle, is replaced with lower grade material from Grand Duc in the second half of the year. Cash costs at Westwood, are expected in the range of $1,250 to $1,375 per ounce sold, and the AISC per ounce sold, are expected in the range of $1,800 to $2,000, with a decrease driven, by the expected increase in production, and reduced underground rehabilitation. Sustaining capital expenditure this year are expected to be essentially flat year-over-year at approximately $65 million, as lower rehabilitation is offset, with increased underground development, as well as an increase in capital, for the renewal of the mobile fleet and fixed equipment. Looking at the long section of the mine here on the right, we can see the increase in underground mining activity in the Central and West corridors, regions of the mine, which were essentially shut down prior to the rehabilitation program of the last two years. We currently have eight zones, but a total of 10 zones that we are targeting in 2024, utilizing a revised mining method of pillarless pyramid stope sequencing to deflect the seismic stresses to the outside of the operating areas. Since the reopening of the mine in 2021, we have now proven that we can mine in these higher grade zones, resulting in meaningful changes to Westwood's complex inventory. Westwood Mineral Reserves, including the Grand Duc open pit, increased 109% from 582,000 ounces to 1.2 million ounces, net of depletion, with grades increasing 26% to 7.14 grams a tonne gold. Excluding Grand Duc, underground mineral reserves were estimated at 1.1 million ounces at an average grade of 10.6 grams a tonne gold. In the second half of the year, IAMGOLD plans to file an updated NI 43-101 technical report, detailing the results of ongoing mine optimization efforts and strategic assessment of the Westwood complex. Turning to Côté Gold, the project saw remarkable progress last year. Though, when you look at these pictures, you may not see significant visual change from last quarter, aside from the snow cover. As at the end of the third quarter, all major infrastructure was in place, and the focus was shifting to completion of piping, electrical, and instrumentation, as well as demobilizing certain contractors and ramping up pre-commissioning and commissioning activity. With first gold on the horizon, we're now executing and ramping up commissioning activities, methodically working through the flow shift starting on the dry side before bringing it together with the wet circuits. Looking at the pictures, starting at the top left, is a view of the processing facilities, with four primary structures in yellow of note. The first is the primary crusher in the foreground, which you can also see and the photo beside the facilities photo in the top middle. This was commissioned in mid-January, where mines rock were delivered to the crusher via autonomous haul trucks. The crush material was then conveyed and screened for size through the screening building, which is the facility's photo in the building in the upper left of the picture and located between the wet processing building and the domes, before being conveyed and deposited in the Coarse Ore Dome, which you can see in the top right of the page. We are now working on commissioning of the secondary crushing building, which comes in the HPGR seen in the bottom left. From there, the crushed ore is conveyed back and forth from the screening building before being deposited in the fine ore bin, which is the white silo you can see beside the secondary crushing building seen in the upper left picture. This step would account for a total of three of the four buildings and all conveyors having been commissioned. After this, the fine ore is conveyed into the processing plant, where it passes into the ball mill in the bottom center photo, and then through the remaining circuits of the plant, which is termed as the wet zone. As far as other progress of note, as I mentioned, we are nearing a major milestone with the full hand-off of all facets of the project to the ownership team. Mining activities, which started with the first autonomous truck over a year ago, progressed very well over the year, with now over 5 million tonnes of stockpile available and in place. Final deliverables include the back end of the plant, where final mechanical completion of the detox and electrowinning circuit is nearing completion. Taken together, we are ready and very excited to turn the chapter on Côté and bring it online for the benefit of our shareholders. Maarten, you can walk us through the remaining project expenditure please, and capital outlook for the year..
Maarten Theunissen: Thank you, Renaud. Since commencement of construction and up to December 31, 2023, on a 100% basis, the Côté project has incurred $2.786 billion of the planned $2.96 billion of project expenditures. The remaining expenditures to achieve first gold is estimated, to be $179 million for the project as a whole at 100%, which will bring the total cost to first gold in line with the $2.96 billion estimate. There is an estimated $40 million of expenditures that will be incurred post the first gold date for additional required infrastructure and earthwork projects. Our remaining funding obligation for the project expenditure up to first gold, based on our 60.3% interest and incorporating changes of working capital, leases and adjustment to the cash balance held by the UJV is $142 million, which, as I noted earlier, can be funded with the $367 million of cash on our balance sheet, as well as operating cash flows, and other sources of liquidity we discussed earlier. Turning to the high-level outlook for Côté, and everything I will be quoting here, is on a 100% basis, I will draw your attention to the top right, where we outlined an expectation for capital expenditures this year, in addition to the construction-related expenditures we just highlighted. We estimate that $40 million of operating expenditures relating to milling, surface cost, administration, and indirect costs that will be incurred during commissioning, ramp-up and up to commercial production, will be capitalized and reported as capital expenditure. These costs represents, the inefficiencies experienced while the project is ramping up and not operating at design capacity, while the operational team has been fully hired. The estimated capital expenditures related, to operations for 2024, excluding capital waste stripping, totaled $145 million. These expenditures will be incurred through the year and include $60 million for the expansion of the next stage of the tailings management facility, $50 million for equipment purchases, including additional haulage trucks, drills and other mobile equipment, and $35 million related to other owners' cost capital projects. Then finally, we estimate $50 million to be incurred for capitalized waste stripping. It is worth highlighting that Côté capital's expenditures in 2024, are expected to be higher than the life of mine average, as the mine progresses with the completion of the construction of the full tailings dam footprint and increases volume of material mined. Over to you, Renaud.
Renaud Adams: Thank you again, Maarten. Production at Côté Gold on a 100% basis is expected to be between 220,000 and 290,000 ounces in 2024. This estimate assumes that following initial gold productions in late Q1, but the operations ramp up in the second quarter 2024 and commercial productions is achieved in the third quarter of 2024. The company defines commercial production as an average throughput of the mill of 60% over a period of 30 days. We are targeting Côté to exit the year at a throughput rate of approximately 90% of the nameplate. During the ramp-up of the project and until commercial production is achieved, it is rather difficult to provide a good indication of operating cost estimates. But as Côté Gold achieves 90% throughput exiting the year, we estimate cash costs at the time to be in the range of approximately $700 to $800 an ounce and an AISC of $1,100 to $1,200 an ounce sold. With further decreases, as volumes increased and as we move through the lagging impact of the recent deflations on contracts for consumables. This brings us to what is the future of Côté. We announce an updated mineral resource and reserve estimate for Côté and Gosselin last night that some material increases in inventory at both of these deposits. At Côté, mineral reserve on a 100% basis increased by 436,000 ounces to 7.6 million ounces with grades increasing 5% to 1.01 grams per tonne gold. The increase in ounces was primarily driven by the increased grade of proven mineral reserve to 1.09 grams per tonne gold based on the increase in stockpiled inventory and the ongoing grade control drilling program. On a resource basis, Côté Gold measured and indicated mineral resources increased 1.9 million ounces or 18% to 12.1 million ounces of gold. At Gosselin, the drilling completed since the maiden resources, has been extremely effective, with an updated mineral resource estimate on a 100% basis of 4.4 million indicated gold ounces and 3 million inferred ounces. This represents an estimated increase of 1.1 million ounces in indicated and 1.3 million ounces in inferred, representing a 32% and 74% increase respectively. This expansion of the Gosselin resource was the result of a 35,000 meter drill program completed over the last two years. This year, we are planning an additional 35,000 meter targeting the Central zone between the pit shells where we see indication of continuation of mineralization and hydrothermal breaches, as well as some deeper holes to understand the continuity of mineralizations below the current pit shells. The updated resource at Gosselin is very exciting for the project. Gosselin is a very large scale deposit sitting immediately adjacent to Côté. That when combined together have an estimated total measured and indicated mineral resources of 16.5 million ounces, with an additional 4.2 million ounces of inferred, putting the project in exclusive company of large-scale Canadian assets. The August 2022 Life of Mine plan model, was built on mineable reserve of 230 million tonnes of material for just over 7 million ounces. However, when investors considered a combined global resource inventory of the Côté Gold project, with its size and scope and for a mine that is effectively built, this is a very compelling potential offer for our shareholders. As I've said before, Côté Gold today is a project, but we believe strongly that this is the start of a mining camp and that it will provide a strong foundation for IAMGOLD for many years to come. With that, I would like to pass the call back to the operator for the Q&A.
Operator: Thank you. [Operator Instructions] The first question comes from Wayne Lam with RBC. Please go ahead.
Wayne Lam: Yes. Thanks. Good morning, guys. Just curious, at Côté, the cost guidance implies about $100 million towards sustaining CapEx and capitalized stripping. And there seems to be a bit more spend post first gold budget versus the '22 mine plan. Just wondering how much of the $145 million CapEx has been earmarked for sustaining versus non-sustaining. And then is there a potential for upward revision to AISC guidance if a greater proportion of that falls under the sustaining portion?
Renaud Adams: Good morning. So with the accounting guidelines changing, where we have to report our revenue and cost of sales from first gold, and then you've got the impact of costs being inefficient during the ramp-up period up to commercial production. That creates that additional $40 million that we have in there. But what it also does is it's difficult for us to have the exact measurements of what is construction capital or long-term capital and sustaining capital until we actually know these achievements. So, we cannot really give accurate estimates of sustaining capital. The $145 million that we've included in the capital guidance, is roughly in line with what we had in the technical report and then similar with the sustaining capital. And those one costs, we expect to decrease as well over the life of mine. So if you take out the construction capital, the accounting, the capital is in line with the technical report.
Wayne Lam: Okay. Great. Thanks. And then maybe at Westwood, can you talk about some of the rehabilitation and geotech work done underground that give you greater confidence in ramping up the output rates there? And then just what proportion is budgeted from the main underground this year versus some of the satellite feed?
Renaud Adams: With regards to Westwood, the stability of the mine has a lot to do with the change of the mining the mining method sequencing. There's no doubt. It is not that it has eliminated seismic activities, but it has reduced it to the point of the energy is so low that it does not disturb. We still have, obviously, this is a seismic area like for mining. But the change and how we address the mining, the matter, the sequencing has reduced the energy to a very, very low level. So this is the main key aspect. Of course, depending on the area, we have adopted like very specific approach to ground support and monitoring and so forth. So this is like I would call more like a global recipe than just like one actions in particular. But after like what, nearly two years now, without any event, and the monitoring of the activities, and we continue to see very low energy depleted in our result, the seismic, we believe that the recipe is successful and will work. So that's what I can say about that. With regards to the mine plans per se, we'd like to say that we'd like to achieve probably in the range of 900 to 1,000 tonnes a day from the underground as part of the plan for the year.
Wayne Lam: Okay. Great. That's good color and good to see the ramp-up there. Maybe just last one for me. At Essakane, can you just comment on the security situation in the region and the ongoing management of getting fuel and supplies to site?
Renaud Adams: I'd like to say that, as we mentioned in our remarks is we've seen quite stable for us. Of course, we're not pretending that the security has changed the point in Burkina Faso, it's a continued monitoring. But when it comes to the mine, when it comes to our activities when it comes to conveying our supplies to site, we've put in place very, very strong security protocols. As we've mentioned before, we do not use ground transportation for labors and workforce, we actually - that's part of the higher cost, of course, when we refer to transportation costs for labor. So we fly people around. We use choppers around there. So, I think like we say, everything is about safety and about keeping our people. So it has proven to be working for us so far. But as of the country per se, we're well aware that. Unfortunately, some situations continue sometimes and military activities. But in our case, we've been now pretty much the whole year, proving that our protocols in place works well, and we keep everyone safe.
Wayne Lam: Okay, perfect. Thanks for taking my questions and best of luck in the months ahead.
Renaud Adams: Thank you.
Operator: Next question is from Anita Soni with CIBC World Markets. Please go ahead.
Anita Soni: Good morning, Renaud and Maarten. So a few questions. Just on Westwood. I think you said that the reserves, excluding the Grand, the open pit reserves are - so the underground stuff is about 10-gram per tonne material. So if I'm modeling like the additions, life of mine and extending that, would I be using 10 grams or feet? Or is there a dilution that I should be thinking of?
Renaud Adams: Well, I mean, like if our - the updated 43-101 will be based, of course, on the updated mineral reserve and resource was as such, 1.1 million ounce of underground material leveraging about 10.5 grams a tonne. Now you need to get to the ramp-up situations to leverage those. We're not pretending that this year we'll be necessarily at 10.6 grams a tonne, because we're still working and positioning ourselves in all those zones. But as we advance in time, it's fair to say that the underground mine should be performing at the reserve level.
Anita Soni: Yes. I don't have it ramping up until about 2020.
Renaud Adams: Yes. So like I mentioned, like 900 to 1,000 tonnes a day. We see the mine down the road capable of probably to be more like 1,000 to 1,200 tonnes a day. We've achieved 7.99 grams a tonne. So we are systematically moving up from the '21 to '23. We're now averaging almost 8 grams a tonne, and we continue to improve from the 6 grams or so we were at the start of the year. So, I'm very comfortable to say that as we advance in '24, should everything works well, we should start seeing those level of grade towards the end of the year.
Anita Soni: Okay. Thanks. And then secondly, on Essakane. I just want to - can you remind me what nameplate capacity is? I modeled the technical report you guys delivered in mid-December, but the press release says that we will be operating at nameplate. I just want to make sure that's still what's in the technical report?
Renaud Adams: Yes. So on an average basis, Essakane kind of capable to operate in the range of the 35,000 to 36,000 tonnes a day
Anita Soni: Okay. And then just moving to Côté. I just want to get an understanding of the cost. So I guess there was $50 million of costs that you would capitalize over and above what you would consider the normal run rate. So, anything above the $700 and I guess you said $700 to $800 per ounce on total cash cost. So any - like you've determined that that's the normalized sort of cost structure this first year. Anything above that is what's going to get capitalized in the $50 million? Is that the case?
Maarten Theunissen: Good morning, Anita. So that $40 million is that from abnormal cost portion. So yes, it is -- and we look at it on a per tonne basis. But guidance range that we gave for - cash cost is what we expect at the end of the year. That's not our average for the year. So at the beginning of the year, even after we've taken out there, those capitalized inefficient costs, it will still be a little bit higher than that.
Renaud Adams: If I can add…
Anita Soni: Sorry, go ahead.
Renaud Adams: So what I can add to this Anita - is one thing that I'm very, very pleased is, as Martin mentioned earlier, with the sustaining capital around the $145 million very much aligned with the 43-101. We have capital ways -- capitalized ways about $50 million. Yes, that compared maybe with the $30 million, but as you ramp up, your costs are higher. But as we exit the year, being now at a sustaining capital level closer to 43-101, we're very pleased with that. So it's up to us now like to put those extra calls behind, complete the construction, everything that is kind of extra capital, put this behind us and exit the year strong within capital aligned with the 43-101 or nearby. And it's all about, of course, getting our operating unit costs in line, as we ramp up the mill in the mine. So, we'll be in very good shape as we enter '25.
Anita Soni: Okay. And then a couple of other things in terms of the - at one point, I thought like there were leases that were coming through. Is that now encapsulated in all of the CapEx guidance? Or are we still thinking about, I think, the $120 million to $140 million of leases starting in this year?
Maarten Theunissen: So for leases, the amount that we referring capital that is on an incurred basis, and it excludes funding. Our lease program of US$125 million at Côté concluded or will conclude shortly. So, we don't have any estimates or assumptions in our 2024 plan for leases.
Anita Soni: Okay. So that means you're not incurring leases, though, in 2024 either?
Renaud Adams: In the plan, we are not showing that we are incurring additional leases in 2024?
Maarten Theunissen: All right. And then the working capital, like is there something we should be thinking about in terms of working capital? Or is that encapsulated in the capitalization of some of these costs. Just sort of the typical stuff where, it takes a while for the circuits to become facturated. And then you get that back at the end of the life, but is there something that we would be thinking about there...
Maarten Theunissen: In estimate...
Anita Soni: You can build up of sorry, consumables and things like that?
Maarten Theunissen: So we have been purchasing consumables during 2023, and we've placed a lot of those orders and those are there so that we can operate. So in our 2,965 estimate, that included buying first fold and then a lot of these consumables and spare parts. And when we look at the $142 million, which is our 60.3% that we need to fund, that covers the project expenditures up to first gold. And then also the paydown of the accounts payable. So that working capital component. And then as I mentioned, we bought purchased inventory in there. And there's a small lease component in there as well. So that's kind of - that's the number that we need to fund from liquidity with our assumptions of building up inventory and paying down IP, because our accounts payable balance will, of course, be a lot lower once in operation, compared to when we were building the project.
Anita Soni: Okay. And then my final question pertains to the $200 million to $290 million production guidance. Can you give us the parameters around which you are sort of like the ranges of -- we expect recovery rates to the X-to-X, we expect the grade that we're going to feed to be X-to-X and we expect the tonnage over the course of the year to be X, like that's the. And just how do you come up with those so that we can keep track of it as the year evolves, and we're not offside on either way on the $220 million or the $290 million?
Renaud Adams: Again, sure help you out a little bit here to put some clarifications around it. So first of all, in terms of grade, we have about over 5 million tonnes on stockpile from which about $1 million is at the 2 grams. So that's what we call. So as you know, we're segregating so we're separating the lower grade. And within the direct feed, there's segregations of 1 million tonnes of the 2 grams. So, we are seeing this working well. We're seeing the great reconciliation, working work very well in the high-grade zones. So 1.5 grams a tonne achieved by mill for 2024 appears to be in the neighborhood as well is achievable. So getting to the ramp-up schedule as we're planning, that could bring you towards around the 6.5 million tonnes mail recovery. We don't see any reason why we'll not be aligned with the 43-101 and about 91% to 92%. So that does bring like the top end, right? So around the $6.5 million 92%. Everything below that could be more a factor of tonnes, the timing of ramping up. I think the grade will feel strong. I think the recovery, but everything else below that and mutual [ph] would be a matter of tonnes mostly.
Anita Soni: Okay. And so you're very confident on the recovery. So we're not going to see you guys see low grade until the recovery gets up. Like that's one of the factors that sometimes in the first quarter, people do a little bit less on grade, because they don't want to waste it, so?
Renaud Adams: We don't intend to stay very much in the low grade once we achieve the first gold, and we intend to ramp up would not. We do not foresee any issues with the recovery. And if we satisfy what we see at a very early stage, we intend to ramp up the grade as soon as possible.
Anita Soni: Okay. All right. Thank you. That's very helpful. Thank you for my questions.
Renaud Adams: Thank you.
Operator: The next question is from Lawson Winder with Bank of America Merrill Lynch. Please go ahead.
Lawson Winder: Great. Thanks operator. Good morning, everyone and thanks for the presentation. Could I ask about your overall inflation assumption for the two operating assets in 2024 versus 2023. So that's cost inflation I should specify, so between Westwood - sort of an average between Westwood and Essakane?
Maarten Theunissen: Good morning, Lawson. If we look at inflation for those two mines, Energy remains a big impact for both of them. Our assumption is about $85 per barrel that we used in our guidance cost ranges will, of course, impacts other impacts, like commodity linked or oil-linked commodities such as steel, but we are seeing those costs kind of coming down. In Burkina Faso, there is a levy on oil as well as higher transportation costs. We expect those to remain. So overall, on a per tonne basis for Essakane, we actually see costs to be roughly flat with the ins and outs of the different things in inflation, because there are certain items that we see are coming down from that perspective. And similarly, at Westwood, if we look at the contracts that we entered into for '24, there are certain items where we see increases, but then -- but similar offsetting increases. So, we don't expect to see a big increase in cost from what we saw at the back end of '23 going into '24 from an inflation perspective.
Renaud Adams: Yes. And if I may add something. If you look at Essakane in the last six months, right, we've seen the beautiful of how it is when you're steady, when you have no disruptions achieving, as we said, below the 1,600 towards at 15.50. And we've seen as well like pressure on cost or 1,800 when we feel sometimes disruption. So should we have like a year of steady good productions, and no issues with the reconciliations, and no disruptions, could we rather achieve towards like the lower end of the cost, top hand of the productions. But we've seen that it's kind of operates some things in a tough environment. So, I think this is how you should look at it. It's a bit of a balance weighted. You know further experience over the last six months, I should say, a bit the same with at Westwood. I mean we've been consistently improving. We've seen like a Q4 achieving nearly $2,000 an ounce. We're going to continue to improve. We're going to continue to improve the grade and so forth. So this is how - it's both mines have been like with the Westwood continuously improving, we feel strong that we overall can beat Q4 for the year. And Essakane is very depending on how stable it will be. But should we be stable, I think we'll have a great deal.
Lawson Winder: Okay. Thank you both for those comments. It's very helpful. And then - so overall, cost inflation in control for 2024 versus '23. What was actually realized in 2023 in terms of year-over-year cost inflation?
Renaud Adams: I will give that to Maarten.
Maarten Theunissen: Lawson, we saw - we did see a big impact, especially in Burkina Faso and - but that was impacted by higher landed cost as well because of the cost of getting our convoys to site safely now. So, I don't have a specific number for you right now to say what, was the impact of inflation. But the cost in the second half of 2024 have those inflation impacts impacted, and you can see that compared to what we were doing in the first half of the year.
Renaud Adams: I think one is the most obvious one, I guess, like when you look at the impact of fuel costs and Essakane, most mine will say their labor cost is the higher cost as Essakane is more like towards like the power and the user field has a big impact. And over the last two years, we've seen as high as probably like doubling a double price and those. So this was like - this is from far the one that has impacted probably the most. And can we see some reduction down the road. We're not necessarily counting on it in the short-term. But just to give you a bit of an idea of what fuel power has been the main contributor to that over the last two years.
Lawson Winder: Yes, that's really helpful. And then just one final question on cost, really pertaining to Burkina Faso. When does the new sort of higher royalty regime take effect? Was it the first of this year?
Renaud Adams: The new royalty regime is in effect, and that's included in our cost. And it entered into in the back end of last year in Q4, yes.
Lawson Winder: Great. And then one final question, I guess, on Westwood. At the current gold price of about $2,000 per ounce and with the significant improvements you've seen at that asset. Do you anticipate generating positive free cash flow in 2024? And if not, what is kind of your benchmark that you think about internally that you need to get to before that asset is generating material positive free cash flow, to the overall business? Thanks very much.
Renaud Adams: So, there isn't any significant expansion CapEx at Westwood. So the all-in sustaining cost range that we have in our guidance for Westwood is also an indication of free cash flow. So, if we meet our cost guidance and the gold price is higher, it should be generating cash flow, and that's kind of how we manage that as well. What we always also did, is with those high cost ranges, we saw an opportunity to put in some gold hedges in Q1. So there's 60,000 ounces that we hedged, and it was zero cost collars and the bits on those are between $1,915, $1,975. So that's also how we just making sure that, with that higher cost profile at Westwood that we can be breakeven or cash flow positive.
Lawson Winder: Okay. Fantastic. Thank you so much for the responses and best of luck for 2024.
Renaud Adams: Thank you.
Operator: The next question is from Carey MacRury with Canaccord Genuity. Please go ahead.
Carey MacRury: Hi. Good morning, guys. Maarten, could you just remind us what sort of minimum cash balance you'd like to keep through the ramp-up here like corporately?
Maarten Theunissen: So the minimum cash balance is actually driven by one of the covenants in our credit agreements. So we have to maintain $150 million of cash on the balance sheet, our cash and cash equivalents. Now because of the corporate structure, there's always the cash balance at Essakane. And it's actually also a cash balance that needs to be maintained at Côté. So the $150 million covers that. But - so that's the amount that we need to maintain and it works well with the cash out by those 2 entities.
Carey MacRury: Okay. Great. And then just on the mining side, you've got 5 million tonnes stockpiled. Is that stockpile going to grow ahead of ramp up? Or is it sort of constrained? And just more broadly, like how does the mining ramp-up look like through this year?
Graeme Jennings: Carey, can you speak up -- we can't hear you very well.
Carey MacRury: Sorry, I can hear me now? Can you hear me?
Renaud Adams: Yes it's fair.
Carey MacRury: Yes. So I was asking about the stockpile. You've got 5 million tonnes on the stockpile. Is that going to continue to grow over the next couple of quarters as the mills ramping up? Or is that constrained at 5 million tonnes? And secondly, just broadly, like how does the mining ramp-up look in 2024?
Renaud Adams: No. Definitely, we see that -- well, there would be an in and out of course, as we ramp up the grid of telling Anita earlier. You will be using, of course, some of them. But yes, the mine plan considers, of course, to continue to do that segregation, continue to add high grade and super high grade to the stockpile and managing the grade two roughly a range about 1.5 at the mill for the year, definitely. The mine is ramping up quite well. We now have - we commissioned like towards like the 14 trucks. We got the second shovel now in the pit. So in terms of mining capacity, we're there, if we achieve an overall 50 million tonnes mined for the years, that would allow us to properly produce the ore require, and continue to segregate stockpile and feed the mill at the proper head grade. So that's roughly what I can say.
Carey MacRury: Great. That's it for me. Thanks
Renaud Adams: Thanks.
Operator: Next question is from Tanya Jakusconek with Scotiabank. Please go ahead.
Tanya Jakusconek: Good morning, everyone. Thank you so much for taking my questions. I'm going to move just to the accounting of all of this. I think thank you very much for all the detail on Côté. Maybe, Maarten, over to you just to walk us through how all of this is going to show up through the income statement and cash flow for the year. So maybe I'll start off with the first of the 220,000 to 290,000 ounces on a 100% basis, what is going to be commercial in that amount?
Maarten Theunissen: So after every ounce that will be produced will be reported as revenue. So the concept of commercial production that doesn't...
Tanya Jakusconek: Okay. So from day one, everything will go through the revenue line. Okay?
Maarten Theunissen: Day 1, everything goes through the revenue line, and then you have to show the cost as well. So - and that includes some stockpile accounting, where the mining cost comes off stockpile, so you have cost of sales in the beginning part of the year, of course, that cost of sales number would be elevated somewhat. But some of those cost lines up on the balance sheet. And so, up to commercial production, the cost we will have revenue and the cost to produce that revenue will be split between cost of sales and that $40 million that we mentioned in our capital guidance. So we shouldn't double account that we are showing some of our operating cost in capital in our guidance number.
Tanya Jakusconek: Okay. So if we were to think of it from a high level, so operating costs plus that $40 million, which is on a 100% basis that would come in through your cost of sales. And then the remaining amount of that capital will be under capital.
Maarten Theunissen: Yes.
Tanya Jakusconek: Okay. Perfect. Okay. So that's through the year. And any - and the reserves that you reported, which you're reporting on a 100% basis, when you look at put your 2023 attributable on the website, because the statement is not there yet, will we be looking at it on a 60%? Is that how you're going to report it on a 60% basis all the attributable versus 70% in 2022?
Maarten Theunissen: So because of that option to repurchase our 9.7% interest, we'll be showing the assets and liabilities at 70% until the point where either we repurchase it or it expires -- if it expires, things will go back to 60%. But I think to keep things simple, the balance sheet will be at 70%, but revenue and cost of sales will be at 60%. In fact, real cash flows is at 60% as well. So to get it up to 70% is just an accounting adjustment.
Tanya Jakusconek: All right. So it would only go to that 60% should that option not be exercised is what you're saying?
Maarten Theunissen: Yes. On the balance sheet. But the way that we think about it is we fund 60%. And we - so we have to pay for 60% of the cost of operating costs as well as capital and we get 60% of the gold.
Tanya Jakusconek: Yes. No, I understand. Okay. I was just wondering about the 70% and 60% for the reserves and other. Okay, that's fine. And then just lastly, Maarten, to confirm, there's another $84 million or is that about coming through to you this year. Is that from some of the asset sales on top of the cash flow?
Maarten Theunissen: Yes. Yes. There's the gross asset - the proceeds from the remaining sales of the Bambouk transaction, we expect to get during the remainder of this year. There's two components of it. The first one we expect to be in Q1 and then the second one later this year.
Tanya Jakusconek: We know how much we're getting in Q1. It's just to make sure, looking at the cash flows in and versus out, just want to get those right?
Renaud Adams: Yes. We expect that - it's a little bit commercially sensitive, but it's about half of the transaction.
Tanya Jakusconek: About half okay. Okay. That's helpful. Thank you very much.
Operator: The next question is from Don DeMarco with National Bank Financial. Please go ahead.
Don DeMarco: Oh hi. Thank you, operator. Gentlemen, I think all my questions have been answered. Thank you 
Renaud Adams: Thanks.
Operator: And we have a follow-up question from Anita Soni with CIBC World Markets. Please go ahead.
Anita Soni: Just a question on that. You touched on it with Carey's question, but the minimum $150 million liquidity as a covenant of the RCF. Can you explain what that means? Like are you - can you fully draw the entire RCF and drop to zero. And then also - and then say you have $150 million left on that RCF. Can you drop down to zero and use that as cash?
Maarten Theunissen: Yes, we can. So our cash and cash equivalents, let's say we spend and we get down to $150 million. In - from there on, we can draw on the credit facility up the full amount. So there's about $37 million, $38 million of letters of credit issued under it. So there's $387 million available. So of the $387 million, we can draw it fully. That $150 million doesn't impact it. But let's say, we draw the full amount. And then we have the cash on the balance sheet. We can't spend below $150 million. So we always have to maintain the cash balance of $150 million. There is other items impacting that as well, of course, are the governance on the credit facility based on what we're seeing now, the facility is available.
Anita Soni: Okay. And then just to catch what Tanya said. So about $80 million coming from the Bambouk assets probably evenly split between Q1 and Q2 in terms of the receipt of that money?
Maarten Theunissen: Yes, approximately, yes, yes.
Renaud Adams: We'd really like to close Guinea in Q1. This is what we're laser-focused on as we speak with our partner, Managem, on that. That would come first for sure. And then Mali would follow somewhere in 2024. So this is really our target. Should we sleep, we're good. I mean it's not -- but that's our focus now, to try to close Guinea in Q1.
Anita Soni: Okay. So you're still trying to close the deal in Q1, you said -- and then you said in the other one on time in 2024. I'm not...
Renaud Adams: Yes. Mali was - correct. Mali would follow after. So - that's why we mentioned '24. So it may take a little longer. But the priority right now, the first one is to close Guinea first.
Anita Soni: And that - the one you're trying to close is the $80 million total. No?
Renaud Adams: No, no. The Guinea itself represents about half of it not happen this year on a gross basis.
Anita Soni: Okay. All right. Thank you very much.
Renaud Adams: Thanks.
Operator: This concludes the question-and-answer session. I'd like to hand the conference back over to Graeme Jennings for any closing remarks.
Graeme Jennings: Thank you very much, operator, and thanks for everyone for joining us this morning. If you have any further questions, please reach out to Renaud or myself. Thank you all. Be safe, and have a great day.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.